Operator: Hello, my name is Chris and I will be your operator this morning. I would like to welcome everyone to the Garrett Motion Conference Call. This call is being recorded and the replay will be available later today. After the company’s presentation, there will be a Q&A session. I would now like to hand over the call to Paul Blalock, Garrett’s Vice President of Investor Relations. Sir, please go ahead.
Paul Blalock: Thank you, Chris. Good day and welcome everyone and thank you for joining the Garrett Motion’s Third Quarter 2022 Financial Results Conference Call. Before we begin, I’d like to mention that today’s presentation and earnings release are available on the Garrett Motion website at garrettmotion.com, where you will also find links to our SEC filings along with other important information about our company. Turning to slide two, we note that this presentation contains forward-looking statements within the meaning of the Securities and Exchange Act, which we encourage you to read the risk factors contained in our filings with the SEC, become aware of the risks and uncertainties in our business, and understand that forward-looking statements are only estimates of future performance and should be taken as such. The forward-looking statements represent management’s expectations only as of today, and the company disclaims any obligation to update them. Today’s presentation also includes non-GAAP measures to describe the way in which we manage and operate our business. We reconcile each of these measures to the most directly comparable GAAP measure and you’re encouraged to examine those reconciliations, which are found in the appendix to both the press release and the slide presentation. Also in today’s presentation and comments, we may refer to light vehicle diesel and light vehicle gasoline products by using the terms diesel and gasoline only. With us today is Olivier Rabiller, Garrett’s President and Chief Executive Officer; and Sean Deason, Garrett’s Senior Vice President and Chief Financial Officer. I will now hand it over to Olivier.
Olivier Rabiller : Thanks, Paul, and welcome, everyone, to Garrett's third quarter 2022 conference call. I will begin my remarks on Slide 3, where we start with highlights for the quarter. And I would like to start by saying I'm very pleased with third quarter results, and I would like to thank employees throughout the company for their dedication and flexibility which helped drive strong third quarter performance in what continues to be a volatile environment. I am pleased to report that third quarter 2022 net sales grew 13% to $945 million on a GAAP basis, but on a constant currency basis, sales grew 25% over the prior year. Strong operating performance in Q3 drove adjusted EBITDA of $146 million, up 9% over last year and the adjusted EBITDA margin was 15.4% versus 16%. While this strong margin is lower than the prior year, it is important to realize that the adjusted EBITDA margin this quarter was diluted by 100 basis points from FX and by 90 basis points from the pass-through of inflation costs for a total impact of 190 basis points. Sean will further discuss in a few minutes. However, taking these adjustments into consideration, this places, this quarter's margin well above last year. In the third quarter, we also generated robust adjusted free cash flow of $120 million, which was boosted by volume growth and the cash contribution from the change in working capital. As a reminder, Garrett operates with a structurally negative working capital position, which means that we generate cash when sales are increasing. Third Q 2022 volume was 3.6 million units, up 15% over the same quarter of last year and reflects gradually improving supply chain conditions as well as new gasoline launches. Importantly, we continue to successfully pass-through inflation and deliver productivity, which when combined offset inflationary pressures. We currently anticipate that the improved demand in Q3 will remain stable and results in a similar volume of 3.6 million units in Q4. Based on these expectations, we are maintaining the midpoint of our adjusted EBITDA outlook, while narrowing and adjusting the previous range. Garrett’s ability to consistently generate cash even in difficult times has allowed us to settle our capital dividend on the Series A preferred share in cash for the first time, while maintaining a strong liquidity position of $634 million. And as a reminder, we have no significant near-term maturities and approximately 80% of our long-term debt as low fixed interest rates and cash interest on the term loan is less than $10 million per quarter. In summary, Garrett continues to generate strong results in a volatile environment, but we stand ready to flex, obviously, our highly variable cost structure to address any potential resection risk in the future. Turning now to slide four. We are leveraging our core strengths to develop new technologies which solve critical powertrain challenges. First, looking at the left-hand side of the page, we continue to extend our leadership in our core turbo business. This is a good industry where we continue to strengthen our leadership position. Once again this year, Garrett has secured a win rate in excess of 50%, which means that Garrett has contracted more than 50% of all customer awards since 2018. This increasing share of demand enhances our cash flow generation and enables us to support major investments in differentiated technologies for the future. Today, about 50% of our gasoline awards are related to hybrid platforms, confirming that our core turbo business is well positioned to benefit from the growth of hybrid as part of our transition to more electrified powertrains. But over the past few years, the launch of e-boosting and fuel cell compressors has enabled us to develop differentiated knowledge in key areas like high-speed rotating machines, power electronics and control software. We are now building aggressively on these capabilities to develop new products in areas where we think electrification offers opportunity for differentiation. Today, about 50% of our RD&E spend is dedicated to these electric products. We are indeed making significant inroads in fuel cell compressors. We are already in production today with some customers. But as mentioned last quarter, we have won some significant new programs and customers' activities are intensifying. To-date, Garrett has already delivered over 150 prototypes of fuel cell compressors, also which we have delivered in Q3 alone. More to come also on the electric traction side, as we are leveraging our capabilities to provide our customers with solutions that will give them a step change in terms of power density and efficiency. This is indeed an exciting time for us, and we will keep updating you as we are able to share more about progress we make in these areas. Now, putting things in perspective, today, over 99% of the revenue of Garrett is made of developing and selling technologies, focused on emission reduction, which makes vehicle cleaner and more efficient. The purpose of what we work on, combined with the efforts we have engaged to strengthen the sustainability of the company have been recognized by Ecovadis, who recently upgraded Garrett to gold in our sustainability rating from last year's rating of silver. This new rating places Garrett in the top 2% of our industry for our sustainability rating. This is a great recognition of what we do at the RS, but also the way we do it. With that, I will now turn it over to Sean to provide more insight into the results.
Sean Deason: Thanks, Olivier, and welcome, everyone. I will begin my remarks on slide five. Looking at the upper left-hand graph, you will see reported net sales for the last six quarters with Q3 2022 at $945 million on a volume of 3.6 million units. As Olivier mentioned, increased 3Q 2022 volume drove net sales up 13% on a GAAP basis and up 25% at constant currency due to improved semiconductor availability, inflation pass-through to customers, and new gasoline product launches. The impact of these items drove our geographical split of sales from Asia up to 33% and in 3Q 2022; from 27% in 2Q 2022; and nearly back to the 3Q 2021 levels when Asia was 34% of total sales. Europe declined in 3Q 2022 to 45% from 51% in 2Q 2022 and was 47% last year. Sales in North America were flat sequentially and but up from 17% in 3Q 2021. These swings geographically are mostly driven by lockdowns in China earlier this year and then the resulting increase after the lockdowns ended. Looking at the right-hand side of the page, you can see the improvement in adjusted EBITDA to $146 million in 3Q 2022 as compared with $138 million in Q2 and $134 million last year. The adjusted EBITDA margin came in at 15.4%. And while lower than a year ago, includes FX and inflation pass-through, which diluted the 3Q 2022 adjusted EBITDA margin by 190 basis points. Lastly, on the bottom left graph, you can see that Garrett generated positive adjusted free cash flow of $120 million, driven by increased earnings and a positive impact from the change in working capital. In summary, Q3 results demonstrate Garrett's ability to deliver strong operating performance as the industry continues to recover in the face of inflationary pressures. Turning to slide six, you see our year-over-year net sales bridge by product category. In Q3 2022, all verticals improved compared to the prior year, which was the peak of the semiconductor shortage on the industry. Gasoline products grew 34% at constant currency, adding $111 million in sales versus Q3 of 2021. Gasoline products now comprise 43% of reported net sales, up from 39% last year, driven by volume growth as well as new program launches, driven by share of demand gains from our 50% new business win rate since 2018. Diesel grew 21% at constant currency, adding $48 million to sales versus the prior year and now comprises 25% of total sales versus 27% last year. Commercial vehicles remained strong, growing 20% at constant currency versus last year, driven by strong demand in Europe, Japan, and North America. These results are impressive given recent headwinds in China where there was a significant softening in the commercial vehicle industry. Commercial vehicles represent 19% of total net sales, flat to the prior year. Next, the aftermarket business remained strong, growing 16% at constant currency over last year and comprises 12% of net sales compared to 13% last year. On a combined basis, our commercial vehicle and aftermarket businesses comprised 31% of our sales and as they are higher than our average margin businesses, they comprised an even greater percentage of the total profitability demonstrating Garrett's strong position in these critical verticals. Overall, Q3 growth was driven by improved semiconductor supply but partially offset by the weaker euro demonstrating the benefit of Garrett's well-diversified and broad portfolio of products. Turning to slide seven, you see our strong operating performance drove adjusted EBITDA growth, as compared to 3Q 2021. 3Q 2022 volumes of 3.6 million units represented 15% growth over the prior year and 12% growth over Q2 of 2022, driving improved adjusted EBITDA by $38 million, compared to the prior year. Product mix improved by $6 million and inflation pass-through, net of pricing was $43 million. When combined with improved productivity of $11 million, this more than offset commodity, transportation and energy inflation of $52 million. As discussed, we increased spending on R&D by $7 million, as we continue to dedicate over 50% to new technologies. This improved performance was partially offset by the impact of a weaker euro, which impacted adjusted EBITDA by $27 million. The adjusted EBITDA margin came in at 15.4% versus 16% last year. As Olivier mentioned earlier, if you exclude the impact of FX, the margin would be 100 basis points higher. Additionally, it is important to note, that inflationary costs from our suppliers are driving our cost of goods sold higher. While we continue to successfully pass through the full impact of these increases to our customers, mathematically, since both sales and cost of goods sold include these amounts. Our adjusted EBITDA margin is further diluted by an additional 90 basis points. This is in addition to the 100 basis points from FX, as just mentioned. So in total, our Q3 adjusted EBITDA margin of 15.4%, contains 190 basis points of dilution from the combined effect of FX and inflation pass-through. This is yet another proof point of Garrett's ability to work with customers and suppliers to successfully execute in a volatile inflationary environment. Moving now to slide 8, you can see our adjusted EBITDA to adjusted free cash flow walk for Q3. Looking at the left-hand side, you will see that Garrett's working capital has historically provided a source of cash on an annual basis, assuming a stable or increasing volume and sales environment as it was in Q4 of 2020 and then again, in Q1 and Q4 of 2021 and turning positive again, this quarter. In 3Q 2022, working capital was a source of cash of $28 million as industry volumes, sales and earnings increased sequentially from the prior quarter. While volumes are expected to remain flat in Q4, a as compared with Q3, working capital will continue to be a source of cash due to the timing of the increase in volume during Q3 as well as lower expected levels of inventory by year-end. Overall, we expect Q4 free cash flow to be $160 million, equating to $340 million for the year at the midpoint of our updated full year 2022 outlook. Free cash flow continues to improve as volumes increased in Q3 and stabilized through Q4. Turning now to slide 9, we ended 3Q 2022 with $634 million of total liquidity comprised of $159 million in unrestricted cash and $475 million of undrawn revolving credit capacity. Robust cash generation over the last year allowed Garrett to repay the Series B preferred stock in full, driving improved leverage ratios. Garrett's remaining Term Loan B debt has no material maturities until 2028. Currently, all Term Loan debt is denominated in euros and 80% is at a fixed interest rate for the next three years. through cross-currency and interest rate swaps executed in 2020. This results in an effective cost of debt currently under 3.2%, which equates to a cash interest expense of less than $10 million per quarter. Improved free cash flow generation in Q3 and into Q4 has now allowed Garrett to pay the Series A preferred stock dividend for Q3 in cash, which equates to approximately $0.17 per preferred A share for a total of $42 million, which was paid on October 3rd. We are currently planning to pay the Series A quarterly dividend in cash in the future quarters, assuming the industry and macro environment continues to stabilize. Turning now to slide 10. You can see the latest forecast from S&P for light vehicle gasoline turbo penetration, which includes hybrid electric platforms. The turbo penetration rate is expected to increase to 52% by 2025 for gasoline applications, particularly for hybrid solutions. And when you combine this with a new business win rate of over 50% since 2018, and note that 85% of the business for 2025 has already been awarded. This results in a stable and predictable growth trajectory for Garrett over the coming years as the industry stabilizes and recovers. Moving to slide 11. For the full year of 2022, we are narrowing our net sales range to $3.57 billion to $3.67 billion and increasing our net sales growth to 7% to 9%. Our net income range allows and increases to $325 million to $345 million, up from the previous range, reflecting the mark-to-market from our hedges primarily due to a weaker euro and increased interest rates. The adjusted EBITDA range narrows to $545 million to $575 million, but we are maintaining the midpoint of the prior outlook of $560 million. Net cash provided by operating activities narrows to $380 million to $440 million with a lower midpoint of $410 million and adjusted free cash flow narrows to $310 million to $370 million to a lower midpoint of $340 million due to a more moderate but stable Q4. On R&D, we continue to expect to spend approximately 4.5% of net sales aligned with our prior outlook. In summary, we are revising our macro assumptions and maintaining the midpoint of our adjusted EBITDA at $560 million and lowering the adjusted free cash flow at midpoint to $340 million. For greater detail, I'd point you to the reconciliations of each of these metrics to the nearest GAAP figure as shown in the appendix to this presentation. Turning to slide 12. We show the adjusted EBITDA walk for the full year 2022, year-over-year, we have approximately the same volume and a slightly improved mix, and we have demonstrated a strong ability to pass through inflation. Overall, Garrett is executing extremely well in a volatile environment with full year volumes flattish but higher in the second half of 2022. Importantly, we continue to successfully pass through inflation while delivering on productivity, all while investing in new technologies. Lastly, on a full year basis, it is important to note the impact on our adjusted EBITDA margin of 70 basis points from FX and 80 basis points from inflation pass-through, based on our latest outlook. In conclusion, Garrett continues to achieve strong operational execution in Q3 and is on track to do so in Q4 in a challenging FX and inflationary environment. With that, I will now hand it back to Olivier for his concluding remarks.
Olivier Rabiller: Thank you, Sean. Wrapping up with the summary slide, slide 14. I would stress once again that I'm very pleased with the performance of Garrett in Q3. We delivered net sales of $945 million, up 13% on a GAAP basis and up 25% from a constant currency basis from last year. We achieved strong operating performance, generating $146 million in adjusted EBITDA, successfully offsetting inflation effects. We maintain an adjusted EBITDA margin of 15.4%, which includes the 190 basis points of impact from FX and inflation pass-through combined that Sean explained. We declared our first cash dividend on the Series A preferred, which is supported by robust free cash flow of $120 million this quarter. We continue to have a strong liquidity position of $634 million with 80% of our long-term debt at a fixed rate, and we now have under $10 million per quarter in interest on our debt. We revised our outlook for the full year of 2022, narrowing the range for adjusted EBITDA, but maintaining the previous midpoint. In closing, I would like to once again thank our employees for their dedication and resiliency as their contribution and the flexibility that they bring growth another successful quarter of strong performance for Garrett. Thank you for your time. And operator, we are now ready to begin the Q&A session.
Operator: Thank you, sir. [Operator instructions] And one moment for our first question. Our first question will come from Hamed Khorsand of BWS Financial. Your line is open.
Hamed Khorsand: Hi. Good morning or good afternoon.
Olivier Rabiller: Good morning, Hamed.
Hamed Khorsand: Could you please first start-off with the China recovery and the impact? Is the order flow stabilized now? I mean the headline still suggests, there's lockdowns there, so how is that impacting your order activity and also production activity in the region?
Olivier Rabiller: So, we are not seeing any more -- that's a very good question. We are not seeing any more of the impact of the lockdowns. I see very minimal impact of the lockdowns on the supply chain. So that's one good point versus what we saw in the first half of the year with the lockdown of Shanghai and then successive lockdowns that happened in the country. What we are watching very much is the strength of the demand in China, because as Sean was saying, obviously, we see that the commercial industry is suffering, which is something we anticipated, but we are seeing well into our numbers right now. And there is still a lot of checks that we are doing about the strength of the demand on the passenger vehicle side. So, we are more looking at the demand and the strength of the demand that's linked to the strength of the economy and new numbers were published last week than the supply chain look down a direct effect on the industry.
Hamed Khorsand: Okay. And then on the timing of sales from new products, when should we expect that for hybrids in the electric vehicles?
Olivier Rabiller: For hybrids, you already have a significant portion of that. Today, it's ramping up everywhere. And for electric vehicles, meaning battery electric vehicles, you need to wait a little bit longer so that we tell you when it reaches our revenue line. Today, we are already delivering on the fuel cell side, but we are not delivering yet on battery electric vehicle, we are developing. And we'll update you once we can share more information about when those start-up production are happening.
Hamed Khorsand: Okay. And then why does your updated guidance suggests Q4 sales might be down from Q3 with flat revenue because that also implies ARPU being flat to down as well?
Sean Deason: I'm sorry, what was the last part of your question?
Hamed Khorsand: The ARPU, the average revenue per unit. So if you're suggesting it's 3.6 million units, it also implies it's going to be down.
Sean Deason: There's a lot of moving parts in that number, but we are seeing – I think if you recall, when we had the call in July, we had indicated we thought the exit of the quarter would be a bit stronger to the upper end of the guidance. What we are now seeing, as we stated in the deck is a flattish Q4 and there's – there are some mix issues associated with that, that are driving that dynamic. But we are able to maintain the midpoint of our guidance at this stage in terms of adjusted EBITDA.
Hamed Khorsand: Okay. But is the sales impact mostly related to the less commercial or less higher-priced units, or is it FX related?
Sean Deason: So well, we look at it without FX. But overall, on a reported basis, which is what you're looking at, yeah, there is a component of FX in the guide, it's slightly weaker in the fourth quarter, but we maintained the full year. So it's not that large of an impact when you compare it to the prior guidance. But there absolutely is a mix impact going into Q4 with headwinds for commercial vehicle and also light vehicle gasoline being off, and that's something we didn't necessarily see this quarter.
Hamed Khorsand: Okay. And then switching to 2023, since 98% has been awarded what does the unit volume outlook look like for Garrett and those ARPUs begin to move up again in 2023 because of more inflation pass-through?
Sean Deason: So for 2023, we are still assessing where volumes will land. I think if you've looked at what IHS has done in the last two months, it's – they've been dropping their estimates. So it still remains a very volatile environment, and we'll give you an update on our Q4 earnings call for our full year guide. But at this stage, we're still working through all the macro dynamics and FX is a component of that as well.
Olivier Rabiller: Maybe in addition to that, in this business, we are living with the macros, the way they happen to the industry and since we are serving most of the customers and pretty much everywhere around the world. We are subject to these macros. The point we do control, though is what we do with winning more business. So if there is an element of macro volatility at the same time, you need to understand that 2023 will show an increase of what we call shareholder demand, which reflects the results that we had so far in winning more business. So that's a key point to keep in mind. But we will come back to you once we have a more precise view on 2023.
Hamed Khorsand: I guess, what I'm trying
Olivier Rabiller: For inflation, quite frankly, it's highly dependent on where the raw materials are trading. We've seen recently a little bit of easing on the inflation side. So the same way we are passing that up to the customers on the way -- sorry, we are passing that to the customers, and we are managing that with suppliers as well on the way down, we'll adjust for that.
Hamed Khorsand: Okay. What I'm trying to get to is that if Garrett is supposed to be a growth story, how assured are you that you can grow units and sales next year if it's going to come from different alternative engine sources from your turbochargers and compressors, or I just wanted to get into that a little bit more. 
Olivier Rabiller: Three components, once again, first component, macroeconomics. Second component, turbo penetration and as we are showing in the deck turbopenetration is increasing, third component share of demand increase. So the two last ones we are in control, more or less, at least the last one. The first one, which is still a question marketing for the overall industry is where do we position 2023 for the overall automotive industry around the world.
Hamed Khorsand: Got it. Thank you. And then last question was now that you're generating free cash flow on an ample basis here and you paid off the Series B. What's your plan for the excess free cash flow? Is it deleverage more buyback the Series A?
Olivier Rabiller: Well, so for the moment, as I mentioned on the liquidity slide, we plan to continue to pay the quarterly dividend on the Series A in cash, assuming the stable macro or the macro environment continues to stabilize. And then we're going to opportunistically look at potentially paying down some of the accrued amount that we're carrying, but we have to put that in perspective of still a very volatile macro environment, where we are cautious about 2023 at this point, and also if any other inorganic opportunity may present itself. So for the moment, our plans are to just pay the Series A in cash, but we evaluate that on a quarterly basis with our Board of Directors. And we'll have more information for you in the next quarter call.
Hamed Khorsand: Okay. Appreciate it. Thank you.
Operator: Thank you. [Operator Instructions] One moment for the next question. Our next question will come from Philipe Gaza [ph] of FactSet. Your line is open. 
Olivier Rabiller: Hi, Philipe.
Operator: Sir, if your line is muted, please unmute your line. Mr. Gaza, pardon, Philipe Gaza if your line is on mute please unmute your line. If you are using a headset, please put one your headphones. It looks like Mr. Gaza is unable to ask a question at this time. Can you hear?
Brian Sponheimer: Yes. This is Brian Sponheimer from Gabelli Funds, not Felipe from FactSet. Can you take my question?
Olivier Rabiller: Yes, Brian.
Brian Sponheimer: Okay. Great. First of all, excellent job, and we look forward to seeing Paul next week. I'm just – I'm just curious, as you think about the structure of the industry now relative to maybe where you were when you were spun, has anything accelerated from an EV perspective that is changing the way you think about your own product development and moving more towards or maybe deemphasizing some programs or platforms that you were thinking to otherwise landing into three years ago, four years ago.
Olivier Rabiller: That's a very interesting question, Brian. So we've been reflecting on that. And for us, one more time, there are two elements to your question. The first question – the first part of the answer is to say, the turbo industry keeps on growing. And by the way, we are winning share. And it's not moving out anytime soon. So I think we are seeing in the deck that in excess of 30% of what we do comes from aftermarket and commercial vehicle and that the contribution to the bottom line of the company and to the cash generation of those two is obviously in excess of this share. So think about it, if the passenger vehicle business was to disappear, we would still do a significant business with commercial vehicle and aftermarket. That's point number one, the resilience of the company in the long run and the fact that even today, the turbo industry is growing and we are winning share. What's happening versus 2018, I think in 2018 I was alluding to the point already that this industry, the turbo industry is consolidating, and it's a technology-driven consolidation. Why? Because we had a number of challengers that came into the turbo industry about 10 years ago. And not all of the turbo players are offering the technologies that are necessary for the carmakers to have vehicles that are compliant with regulations moving forward. So if you take the example of variable geometry on gasoline, you have only three players that can provide that. If you get two-stage technology, it's only two players that can provide that. And same it should get across the different verticals. So we are seeing a consolidation that is to the favor of the incumbents into an industry that is growing. Let's keep that in mind. By the way, that technology content increases also with the degree of electrification as we said before, the percentage of hybrid vehicles that are turbocharge is superior to the percentage of usual internal combustion engine vehicle that are turbocharge, okay? So electrification is a good thing for turbo not only for penetration, but also for technology. Now if you put that aside a minute, what's happening is that then all of that is happening in the context of a consolidation of customer platform, meaning that to achieve the same amount of revenue, we need to do less efforts in developing products, meaning you have bigger engine platforms, and therefore, I don't need to develop twice for the same amount of revenue. That -- that productivity, if you want, that's happening on the profitable side, combined to all the investments we've made and all the leads that we have launched, get us to the point today where we are 50% of the company and growing that we are putting behind investment that are not related to the turbochargers. So we are already seeing -- the benefits of that, and I've mentioned on the call, all the success we are getting on the fuel cell, which is linked to hydrogen. And the question could be our big hydrogen and how soon, but it's a very good optionality for the company. And we are working on some other things that we cannot share with you yet, because these are confidential programs.  But we are bringing some of these differentiated technology to address the transformation towards more electrication. And this is very important for us, we are playing electrification as an opportunity. We are playing offense. We are not playing defense. We are not about -- after content per vehicle. We are about -- we want to preserve what the DNA of the company is, which is going after technology differentiation opportunities. And that's what we are doing with fuel cell compressor. We've mentioned on the call that we have some great things happening on the electrification [ph] drive. There are also another area that we have not disclosed yet where we are pushing that to the same extent. And we are seeing that today, the second wave of the transition towards electrification will require much more technology than what is offered today by a number of players, and we want to be playing on those opportunities that are offering us the -- the nice technology differentiation that this business is usually bringing. So it's a long answer to your question, but I would say a lot of things have changed in the sense that there is an acceleration to the trends that we have seen -- and by the way, we are playing that acceleration by putting this 50% behind, it's not only 50% this year or last year, it was already more than 40% behind electrification, and we are starting to see some success with that.
Q – Brian Sponheimer: Okay. That's very helpful. We've had a question on profitability. You've done an excellent job given the cross-wins that you have faced from a inflation and FX perspective on incremental margin. I'm curious, when you think about this business in a more normalized world and you think about the incremental margins that you would have on the gross line. Is there anything structurally in the wave of the mid- to high 20% range that you've had in the past?
A – Olivier Rabiller: I am not sure, Brian, that we've ever been above 20% -- just to -- maybe to correct that point. But what I can tell you is that it's -- we are referring back to what we said today. When you look at this year, the mid-range of the guidance positions us at 15.5% adjusted EBITDA
Q – Brian Sponheimer: I was talking on the gross profit line, not the
A – Sean Deason: On the gross profit, I'm sorry. And are you talking incremental margin on the growth?
Q – Brian Sponheimer: Yes.
A – Sean Deason: Yes. We should be on the gross profit line incrementally because we have the necessary footprint in place, so we don't necessarily have to go out and put up a new plant to deal with some of the volume growth we're expecting, we would expect it to be upwards of 20%. That's correct.
Q – Brian Sponheimer: Okay. Yes. I mean you go back to the 2015, 2017 time frame and your 24% gross margin business. I'm just wondering if there's anything structurally preventing that from happening again.
Sean Deason : No. I think today, the biggest headwind we are facing is FX and the dilutive impact of cost pass-through on inflation, but…
Q – Brian Sponheimer: Okay. Well, thank you very much for taking my questions and tire for the confusion on.
Sean Deason : No, no problem. 
Operator: Thank you.
Sean Deason : Thanks, Frank.
Operator: [Operator Instructions] I see no further questions in the queue. I would now like to turn the conference back to Olivier Rabiller for closing remarks.
End of Q&A:
Olivier Rabiller : Thank you. Well, once again, I'm very pleased with the great performance we had in Q3. It's -- when we put things back in perspective, it means that we are managing there were things that are in our control. And you've seen that in the way we are managing the inflation pass-through. Looking forward, we have obviously our win rate that is a good indication about our increased share of demand and the stability of the outlook of the cash flow for the company. And if anything, we have proven for the past few years is that we have the flexible cost structure that helps us address and offset some of the impact of variations in volumes. And as people look at the uncertainty of 2023, we feel well prepared to address that uncertainty and take benefit of anything that comes our direction. So with all of that, I would thank you, everyone, and we look forward to seeing you again beginning of next year.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect, and have a pleasant day.